Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Zhihu Inc. Third Quarter 2021 Financial Results Conference Call. At this time, all participants are in listen-only mode. After the speaker's presentation, there will be a Q&A session. Today's conference is being recorded. At this time, I would like to turn the conference over to Ms. Jingjing Du [ph] Head of Investor Relations. Please go ahead, ma'am.
Unidentified Company Representative: Thank you, operator. Hello, everyone. Welcome to our third quarter 2021 financial results conference call. Joining us today are Mr. Zhou Yuan, Chairman and CEO of Zhihu; and Mr. Sun Wei, our CFO. Before we start, we would like to remind you that today's discussion may contain forward-looking statements, which involve a number of risks and uncertainties. Actual results and outcomes may differ materially from those mentioned in today's announcement and this discussion. The company does not undertake any obligation to update this forward-looking information, except as required by law. During today's call, management will also discuss certain non-GAAP financial measures for comparison purpose only. For definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see the earnings release issued earlier today. In addition, a webcast replay of this conference will be available on our website at ir.zhihu.com. I will now turn the call over to Mr. Sun Wei, our CFO.
Sun Wei: Thank you, Jingjing. I am pleased to deliver today's opening remarks on behalf of Mr. Julian, founder and CEO of Zhihu. Thank you for joining Zhihu’s 2021 third quarter earnings conference call. As one of the largest online content communities in China, we have always been committed to the development of our content centric ecosystem through continuous community infrastructure enhancements, user base expansion, and monetization to the ability improvement. Our fast growing user base is primarily young and cross generational. It’s using our platform with Vitality, while our content centric monetization model differentiates us with sizable growth potential. Against the backdrop of rapidly changing macroeconomic conditions, our distinctive model, wider user community, and the continuous accumulation of high quality of content serves as not only a moat in the competitive pen entertainment arena, but as compounding driving forces propelling long term, sustainable growth of our user base and a monetization channel. In Q3, we delivered another solid set of financial and operating results, with our average MAUs reaching 101.2 million, up 40% year-over-year, and average monthly viewers growing to 542 million. As of the end of the third quarter, the cumulative pieces of content on our platform reached 458.9 million, including 398.4 million questions and answers, representing a year-over-year increase of 43% and 38%, respectively. Additionally, our average number of monthly active concentrators increased to 3.6 million, of which the average number of monthly video content creators increased 86% year-over-year. Meanwhile, our content centric monetization initiatives continued to gain traction, evidenced by a 115% year-over-year increase in revenue to RMB823.5 million and a 110% year-over-year increase the average monthly pay members to 5.5 million. During the second quarter, we upgraded our high quality content segments standard by introducing sense of fulfillment. We took further steps in Q3 to update the mechanism for content creation, distribution, consumption and the platform interactions and made remarkable progress. High quality content with the characteristics of broader new horizons providing solutions and resonating with mind was widely recognized by both users and content creators, and helped drive the growth of our community. In categories which carry more sense of human content, including engineering, economics and law, graphics and text views increased by 136%, 58% and 112%. And the related user engagement increased by 102%, 134% 111% all within just two months. The views of high quality video content with a sense of fulfillment on our platform increased by over 140% in the two months. The implementation of the standard of a sense of fulfillment brought users with fulfilling content and prompt higher levels of user engagement on our platform before the final announcement of the winner of the Nobel Prize in Physiology, or medicine this year. Under the topic of 2021 Nobel Prize tour, a Zhihu user had successfully predicted the sub display with the highest probability of winning with supporting reasons. In addition to targeting a massive user base in a quarter, we focused particularly on enriching content that met our new sense of human standards to appeal to various user communities. For example, in October this year, our published children's popular science cartoon book, titled “100,000, Wives” was well received by young parents. Beyond tightening user consumption, sense of fulfilment content also benefits creators by encouraging more user engagement, and providing more opportunities for commercial income generation. A good example comes from [Indiscernible] one of our veteran digital content creators. He had accumulated more than 1000 high quality answers over the past eight years on Zhihu recently released detailed sharing of entry level watch selections, which not only yield 30,000 apples, but also provided the creator with corresponding commercial income. Content creation on Zhihu’s platform has now become an important income source for him. The successful implementation of a new content standard not only provided our users with broadly expanded content coverage, but also demonstrated our differentiated value proposition in our ability to influence topic directions, and discussions on that. For example, during the Tokyo Olympics, while many community platforms were just celebrating team victories, or focusing on individual performances, the Zhihu community was having in depth discussions on the reasons behind wins or loses. Some prominent topics on Zhihu fell under threat, like how the Chinese women's volleyball team lost to the United States as zero to three, whereas protective, were shared on strategy use, economics, etcetera. If these types of discussions and the user interests that have given rise to Zhihu’s nickname CJ should action, which means master of skills or tactics. After Xu Xin and Liu Shiwen lost the ping pong mixed doubles during the Olympics, Zhihu users responded with intellectual curiosity and theories, rather than emotionally driven discussions, Zhihu’s community give rise to topics such as the medal theory and Olympic spirit, which became the positive and the guiding force of online discussion. As we continue on efforts to improve creation, distribution, and the consumption of our content, with a sense of fulfilment, we have also preserved community compliance through proactive community governance and the scrutiny of long compliance content. We strive to enhance users trustworthiness by fostering a community characterized by sincerity, expertise and their effect. In Q3, tightening content timeliness provide users a better platform experience by enabling them to more quickly and easily find fulfilling content with timeliness within our massive content library. This was proven particularly effective with the devastating floods in [Indiscernible] which we shared in our previous call. More than 160 topics related to the Fauna [Ph] flood were generated within 10 days on Zhihu’s platform. With nearly 150 million page views, after the astonishing news about weave, I'm Brooke Zhihu users carry out national in-depth discussions associated with legal factors under the table Zhihu of entertainment industry and the failing economy. The average number of pieces of content with timeliness generated on our platform on a daily basis increased by 40% this September, versus mid-April. It is encouraging to see more and more users in our community consuming content with timeliness, with a related video penetration rate exceeding 40% at the end of third quarter. To better satisfy user demand for high quality content in various categories and a diverse format, we encourage creators with different specialties to work together and to jointly introduce more content, especially video live content. In Q3, the number of average monthly uploaded reviews increased by 290% year-over-year. The average number of pieces of content consumed per user and our video tab, and a core Q&A scenario also continue to increase. As of the end of September, the number of BAUs who consume the video content increases 37%. In October, we launched a new feature named joint creation, which allows text creators to authorize video creators to use their original answers as the basis for video script and share the copyrights with them. Initiatives like this not only amplifies our high quality content library, but also prompt more user engagement. A video link looking at the world through data, how far the gap between [Indiscernible] and the boat is an excellent case, demonstrating the synergic effect of content visualization through joint creation. This video was adapted from a blockbuster graphic and text content, with 10,000 Apples originally created by changing a 10-year creator veteran. The video extension of this content was widely spread, receiving over 2 million views across our platform and are gaining vast recognition inside and outside Zhihu's platform. Driven by the abundant coverage, diversified formats, and the improved timeliness of high quality content, or user base maintain its high growth momentum. During the third quarter, our average MAUs exceeded 100 million a record high. Average monthly viewers reach 540 million and among which the penetration rate of MAUs increased to 18.7%, more than that the value proposition of our community is steadily attracting users across ages and across regions, making our user base increase in a more balanced and healthier manner. In Q3, the percentage of female users grew to 47% from 44% in the same period of last year, along with the improvement of content timeliness of a user group of those who over 30 also grow steadily in both numbers and activeness, further solidifying our unique and vibrant community ecosystem, at the same time, expanding our content formats capabilities enabled us to satisfy younger generations demand for learning life and entertainment. In preparation for the school season, starting in September, we launched a series of programs titled “First Lesson for University” where graduates were invited to share their valuable experiences and insights. Delving into six relevant topics, the serious risk resonated strongly with younger users, attracting more than 800 million views, and the property message discussion. Geographically, the number of users in tier two cities or below also continue to increase in Q3, through expanding content category coverage, providing more content with timeliness, and offering diversified consumption formats. We aim to create an inclusive platform where all users in our community can feel a sense of belonging. Our message and active user base infuses our communities with energy and constantly reinforces it by generating high quality content, which in return attracts more talented content creators to join us and make contributions. As of the end of Q3, the cumulative number of content creators on the Zhihu platform reached 53.1 million by providing more and better tools, assistance and incentives for the content creators. Based on their differentiated capabilities and needs, we were able to help them improve their creation experience under the new standard and further gain recognition and user trust within our community. In addition to further upgrading the tools, we do sectioning, and match to Q&A launched last quarter, we iterated the function to generate a PPT video through one click. The joint creation feature launched in October, was designed to -- was designed an aim to help creators improve their creation capabilities by allowing them to focus on what they do best. For example, a high quality answer about the brain is the 41,000 Apples generated by a Zhihu user was adapted into a video by a video creator Kuaishou, and received more than 4 million views supported by high quality text content, the video named How big is the impact of college entrance examination of future income. How to quantify the long term impact of poor scores in college entrance exam received more than 2.59 million views and more than 3000 apples on our platform since its launch. By the middle of November, thousands of graphics and text creators had participated in content authorization to join creation, with the total accumulated authorized content exceeding 1.8 million pieces, which demonstrated that this is right strategy to meet common creators the most real and the pricing needs. Driven by the richness of high quality content with a sense of fulfillment, the commercial value of our community and our young and across generational user base, both maintained their growth momentum, further solidifying our community ecosystem in recognition of our increasing branding value. In October, Zhihu was once again named in BrandZ list of top 100 most valuable Chinese brands for 2021, ranking seven places higher than last year. Underpinned by Zhihu’s increasingly prominent brands, and unique content centric monetization model, our commercial efficiency has continuously improved. More brands and business partners are recognizing Zhihu as an important platform to gain visibility, and more concentrators joined Zhihu’s ecosystem we were able to cooperate with a huge number of commercial content creators in different specialties, and together, make achievements and share the benefits by expanding user coverage and improving commercial efficiency. In Q3, revenue from CCS increased by more than five times, compared to the same period last year, reaching RMB278 million. Average monthly paying members reached 5.5 million representing 110% year-over-year growth, and the revenue from paid memberships increased by 96% to RMB178 million year-over-year. Moving forward, we plan to further enrich high quality content and strengthen our content centric monetization solution, especially in categories including e-commerce, and vocational education, further enhancing our closed loop ecosystem, as well as increasing our value as a business partner. Before our CFO provides highlights and additional color on our financial results, I would like to share with you some major progress we have made centering around our content ecosystem in Q3. To better serve our content creators and to improve their commercial and community influence, in September, we updated our chief [Ph] platform by using composite influence index, and formally released the ranking of content creators on chief [Ph] level. This platform is aimed to help content creators improve their monetization capability by providing a transparent transaction model, multi-tasking mode and effective data indicator assessments. In the third quarter, the number of creators who achieve commercial income tripled compared to the same period of last year. Our creators may now increase their commercial income through six diversified channels, including commercial content, paying membership content, recommended -- and consulting solutions, etcetera. The experience of one of our young selection authors is a great example of this. Through his urban story series, which attracted nearly 160,000 users, he was able to realize close to 1 million RMB incomes during the third quarter. As an important platform influencing the young generation’s lifestyle and the consumption decisions, we have become the desirable platform with effective content centric commercial solutions for thousands of brands and merchants in the fields of beauty, cosmetics, personal care, e-commerce, FMCG, vocational education, etcetera. In the third quarter, the number of brands and merchants that use our content commerce solutions increased 200% compared to the same period of last year, and GMV on our platform reached a new high of nearly RMB5 billion, representing a year-over-year increase of 92% as of the end of third quarter. We released our 2021 Zhihu top 100 list at the end of October. The list provided 100 products across various categories, including clothing, food, housing, and -- were selected by participating Zhihu users based on their professional and personal experience, as well as our big data analysis. Users are not only impressed by items like the pillow with the most apples, most eat nail powder, and they handed cookware, but also enjoyed fulfilling content while reading through the selection experience, leading to a mutual gains for both users and creators. I call it a content with a sense of fulfillment is not only a key factor in inspiring the trustworthiness among users, content creators, and the Zhihu community. It is also a statement in strengthening Zhihu’s industry leading position. As we forge ahead, we will continue to encourage content creators to produce more high quality and fulfilling content and help brands and merchants achieve healthy business growth. We believe that meaningful interplay between users, content and monetization is the driving engine in advancing a robust community ecosystem, reaching new heights and achieving sustained long term growth. This concludes the remarks for Mr. Zhou Yuan.
Sun Wei: I will now review and provide more details of our financial performance for Q3 2021. As Zhou mentioned, we achieved another strong quarter, recording total revenue of RMB823.5 million, which represents a year-over-year increase of 115%. Our unique content centric business model is increasingly showing a strength and ability to attract to drive our business growth, keeping pace with our fast growing and vibrant user base. In the third quarter, content-commerce solutions and paid membership combined to contribute over 55% of the total revenue. Our commitment to our content-commerce solution strategy has continued to gain market awareness. In Q3, content-commerce solutions contributed RMB278.4 million to total revenue. This five-fold year-over-year increase costs content-commerce solutions as a percentage of total revenue to grow significantly. It is further underpinned by the continuous improvement of our commercial content ecosystem, as well as increasing reclamation and growing demand from our diverse business partners and merchants. The number of our CCS customers tripled in the third quarter compared to the same period in 2020 as we broaden our coverage to encompass over 20 industries. Moreover, we also saw a significant increase in content greater participation in this business line facilitated through our chief platform, which launched in late May this year. In the third quarter, the number of creators who have joined our chief platform and achieved commercial income exceeded 10,000. We believe this demonstrate that we are on the right track and helping our content creators reach their commercial goals. Advertising in the third quarter maintained its strong momentum, despite ad industry headwinds. In the quarter, advertising revenue was RMB321.1 million representing a 39% year-over-year increase underpinned by our advantage as a comprehensive content platform and increasingly wide range of advertisers now consider us as a marketing platform, due to our ability to continue to connect their ad wares with our broad user base. In the third quarter, companies from the fields of e-commerce, personal care and cosmetics, automobiles IG and 3C were our strongest growing contributors. Our paid membership contributed RMB178.3 million to total revenue in the quarter, representing an increase of 96% compared to the same period last year. As of the end of the third quarter, our average monthly pay members reach 5.5 million with a payment ratio of 5.4%. The strong momentum in this business line also benefited from enhanced content creator commercialization capabilities. Other revenue, mainly comprising e-ecommerce and vocational education achieved year-over-year growth exceeding 200% in the third quarter, increasing to RMB45.7 million. Our e-commerce business continued its rapid growth momentum, with GMV, exceeding RMB1.4 billion in a quarter. As Zhou Yuan just mentioned, we made further strides to enhance our recommended good business. By bringing more fulfilling content and a greater engagement to our commercial ecosystem, we can better meet our users’ needs and to create synergies with our other content centric monetization approaches. Our vocational education services based business, which primarily provides online vocational and professional training for adults, has had great success with its self-paced courses, including those covering video production skills, and postgraduate entrance exam preparation. We maintain a strong growth margin of 52% in the third quarter, while remaining dedicated to continuous investments in our content ecosystem. The third quarter also witnessed improvements in operating efficiency, as total operating expenses of RMB747.3 million declined as a percentage of total revenue, on both a year-over-year and a quarter-over-quarter basis. Our operating expenses in a quarter were primarily composed of sales and marketing expenses, and investments in human resources. Our user acquisition strategies, leveraging our high quality content library have proven themselves to be of great economic benefits. We've seen that content is timeliness, including content related to the Tokyo Olympics, and the topics related to the start of the academic year. And the college recruitment normally drove organic incremental user growth, but also effectively encouraged user interactions in Zhihu community. As the results our non-GAAP adjusted net loss, which excludes share based compensation expenses, was RMB112.4 million in the third quarter of 2021. As of September 2021, the Company had cash and cash equivalents, term deposits, restricted cash and short term investments of RMB7.6 billion, compared with RMB3.1 billion as of as of December 2020. Finally, on to our financial outlook, looking to the fourth quarter of 2021, the company expects total revenues to be in the range of RMB1.01 billion to RMB1.03 billion, reflecting a year-over-year increase of between 94.3% and 98.2%. As a reminder, this outlook reflects Zhihu’s current and the preliminary estimates and is subject to change. This concludes our prepared remarks. Operator, we are ready for the Q&A. Thank you.
Operator: Thank you. [Operator Instructions] Our first question today will come from [Indiscernible] of China Renaissance. Please go ahead.
Unidentified Analyst: Good evening management. Thanks for taking my question. I have two questions. First question is regarding our CC SPS [Ph]. We noticed there are a number of new products without [Indiscernible]. For example, we have to assume for top 100 list. Can you show more color than what we did during this top of your campaign. And a second is regarding Zhihu’s strategy, can you discuss in details from both supplier and labor consumption side, for example our supply side we have the choice and choice operated a program on our on the consumption side we notice that the video -- notice was on the homepage so can you discuss in more details? Thank you.
Unidentified Company Representative: [Foreign Language]?
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: Okay, I'll just answer the first question in Chinese and Zhou Yuan will take number two. [Foreign Language]
Unidentified Company Representative: Okay, so, see if I suggest the first question. As we explained in the remarks, the CCS has improved a lot continues to increase a lot especially in this quarter. We had a year-over-year increase of over 500 times and a quarter-on-quarter increase of over 30% And this is basically due to all constant construction of a good eco system for high quality content on Zhihu and also we are playing and more and more profound influence over people's buying decisions and they are more brands and merchants and you know unit so for commercial commercials joining our platform and you see that we have a much better and ever improving reputations in the market year-over-year.
Sun Wei: [Foreign Language]
Unidentified Company Representative: For this double specifically we have when we have launched activities such as top 100 list to promote and make recommendations on our community to help our users to make buying decisions and purchase the goods they want. And we are working together with e-commerce platforms such as jd.com and Alibaba that covers a number of sectors, including clothes, food, traveling and living. And also our users are able to enjoy a sense of fulfillment during their decision making process. The GMV we had for the third quarter is RMB4.97 billion, which we represented a year-on-year growth of 92%. And our daily order number in Q3 increased by 31% and also at the same time what is worth noting is that Zhihu’s tick rate has increased by over 200%.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: At the same time, we continue to explore and develop our business models in terms of e-commerce. We will continue to have a further business integrations with regards to goods recommendations and brand building and all content homeless face marketing activities by the merchants so as to make the monetization more efficient. And also we're exploring ways to have a closed loop e-commerce platform within our communities. And to further build on all the self-branded businesses and brand building activities inside about Zhihu platform.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: So this is from CEO Zhou Yuan. We are very happy that you have noticed a difference in our product actually, this is not the final version that is just a great version or a better version that we just launched.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: Just as I said this is just a version for exploration for new practices. And it's not just for videos, it's more than video. So we want to launch those to improve our monitoring on the users on our community to try to understand their attention, their behaviors as well as their profit traffic, profit domain traffic and to understand their interactions and engagement on our community. And second, as you rightly pointed out, that is that we have the video tab on our home page. And third thing I want to you know just keep it secret for the time being because you know after we officially launched it in December, we will give you more details in due time. So all of those efforts are to try to make our user experience more simplified and more interesting.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: So since we're testing that we saw very nice feedbacks so they're both from the consumer side from the consumer from the consumption of the videos you see that we have very nice TV. Very nice metrics including very nice TV and the retention rate as well as time spent and car shows they all have displayed very nice potentials. And we keep heating the users where they have feedbacks and we have very quick updates and iterations of offers a better version that we have.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: From the content creation side of the story, you see that our daily uploads of videos increased by nearly 300 percentage points. And our monthly active video content creators increased by 86%. And after we have pushed forward the standard for a sense of fulfillment for making video content, we have received very good support from the content creators, especially those who have high sense of creativity and great imaginations, who actively join us as a content creator for videos in the ecosystem.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: I want to say something more about joint creation. As you know that on the content creation part, we have very nice video makers together with very nice users who have nice views and ideas. So they went together through sharing copyrights. They delivered very nice video content. So we believe that it is not only a new product, but it's also a new format of generation of content and constant consumption of content. And I also want to share two numbers with you that is the consumption of videos on our on our community keeps increasing the video consumption penetration rate in DAU for this quarter was 37% versus 30% in the last quarter.
Operator: Our next question today will come from Ashley Xie of Credit Suisse. Please go ahead with your question.
Ashley Xie: [Foreign Language] Thanks management for taking my question. It's mainly related to our lower tier CD penetration. Just want to understand how is our utilization helping us in these regions. And how is the user behavior different between higher and lower tier cities? And if you look forward what's our plan and strategy to expand our penetration in lower tier cities? Thank you.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: So, the focus of our video is to focus on getting more videos with sense of fulfillment on our community, especially on the supply and consumption of such videos. We believe that this is a sound strategy that we will stick to for the longer term to differentiate ourselves so to build our core competitiveness.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: So for fulfillment as a new standard that we propose for video content has been very well received and very well recognized by our users as proved by our surveys recently.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: As we are cracking down low quality video with them give more focus and priority to high quality videos you see that we have since improved popularity of high quality videos especially those who has that has a sense of fulfilment. As we improved our discover and distribution mechanisms for those videos, they are those videos has had been saved for more times, shared for more times, and has also helped us to improve the retention rates of users. Especially you see the second month retention rate for users have improved one percentage point this quarter.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: So the supply side of the video content we have those joint creation mechanism as well as answers by videos. So all this are the upgrades to the product side and towards the side to help people provide more video content. So right now our joint creations are increasing very quickly. We now have over 1.8 million authorizations of text and images for video making that helps us to translate more and more highly voted answers and texts and images to highly voted videos. By way of example, the cooperation between visual monitoring and [Indiscernible]. They delivered a 4 million viewed video by jointly by creating based on a how we voted and so with over 410 up votes. So that is a very good example of how joint creation has been effectively working for us and the supply side of the content.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: On the consumption side of the video content, well, actually, the consumers of videos are pretty much the same, as the general users that we have, in terms of the profiling of uses except that they are younger. Well, they have three percentage higher in terms of those who are under 30 years old, for video consumption versus the general users. So on that, I believe that does actually means that our video content is pretty much in line with those who are with the demands of those on our community, especially if we had been able to cover more uses and satisfy their demands with our video content creation.
Operator: Thank you. And our next question today will come from Piyush Mubayi of Goldman Sachs. Please go ahead.
Piyush Mubayi: Thank you for taking my question. First, on the third quarter, when I combine advertising and GPS you grew 117% despite the pressures on the advertising market in general. Could you take us through the verticals that has come through very nicely for you for the quarter? And in looking at your guidance for the fourth quarter for almost 100% growth? Can you give us the building blocks of that both in terms of MAU as well as how strong you expect advertising to grow in the fourth quarter? And while this is very early, could we also look forward to 2022, I realize it's very preliminary but nonetheless, can give us a feel for the pace of growth you would expect on a preliminary basis if possible? Thank you very much.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: Thank you very much for your question. In terms of -- in terms of advertisement and advertisement verticals. Well, for Q3 you see that the most affected factors such as K-12 education and insurance well they used to have a very small percentage points in our advertisement contribution, therefore, the impact is very minimal to our business.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: If you look at the breakdown of advertisement verticals by sector you see that e-commerce, consumer goods, Internet services IP&CC, so there are many sectors that we have advertisements from and they all had very stable and nice growth of 80% year-on-year. And I think we benefit those, we've benefited a lot because our, our merchant client the advertisement clients are switching their marketing expenses from traditional media platforms to some platforms like us which we can produce very nice contents and deliver nice and – state content-commerce solution.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: For other models in housing financials we had a very nice and innovative benefits and registered double digit growth in those two sectors, and more.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: The above mentioned factors put together accounted for over 60% of all advertisements.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: And I believe by going into the fourth quarter, we will continue to have very nice growth coming out of e-commerce FMCG, CG, CCLG and etcetera. And reasons as I explained before that we as a content community are able to provide good platforms where people to you know build their brands to deliver very nice and quality content for their marketing efforts and to have a diversified advantages in helping the advertisers to market themselves.
Sun Wei: [Foreign Language]
Unidentified Company Representative: Going into 2022, we believe that our total revenue will continue to grow at a fast pace and the percentage points as contributed from CCS and advertisement will again account for about 70% to 75% of the total revenue we make.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: Sorry, the percentage points actually means the number for Q4 not for 2022. Sorry.
Piyush Mubayi: Okay, thank you.
Operator: Our next question today will come from Natalie Wu of Haitong International. Please go ahead.
Natalie Wu: [Foreign Language] Thanks for taking my question. And I have two questions here. The first one is a follow up to the last question. So just wondering for your current fourth quarter outlook, almost double digit goals. Can you help us break down among each business life? That's exactly for the rest of to like membership and e-commerce and other business lines, revenue goals for the support for the fourth quarter. And secondly, for the e-commerce business, we notice that you have ramped up your run to business recently. We're just wondering for your e-commerce GMV in the third quarter, how much comes down your business which initiated like I think December. Also just curious how should we sync up the strategic position for your one PMC [Ph] business going forward? And also futures lead score for GMB goals? Thank you.
Operator: Hello, hello is the speaker line open? I'm not able to hear you.
Sun Wei: [Foreign Language]
Unidentified Company Representative: Thank you for your question. Well, as I mentioned in Q4, our revenue outlook will be 70% to 75% coming from CCS and advertisement together and 20% for membership and for the others education, e-commerce and others coming together will be five percentage points. So further more on our e-commerce business, we believe that our e-commerce development will continue to center around good content, because we believe good content is good business. And we believe that one question is one street and one answer is a good shop. We keep, we continue to help the consumers and users to identify those foods that are worth buying, buy our voting systems to select the most reliable answers and then continue to help them with the transaction. And we believe that those two are going to deliver very well and to then to bring benefits to those concentrators, merchants as well as the community as a whole. And as I mentioned, the GMV we have for the third quarter is RMB4.97 billion and with the daily weather increased on a daily basis of 31 percentage points and our take rate also increased by more than 100%. And all of those efforts are helping us to improve the monetization efficiency and for our 1P business, we are trying out in helping the brands and also to help them to create content based marketing and promotion. And this is so by far the final version of 1P e-commerce that we have been revolutionising the models as we going forward, and we believe that those will deliver better and better results going forward in the future.
Natalie Wu: Yes, thank you.
Operator: Our next question will come from Alex Yao of JPMorgan. Please go ahead.
Alex Yao: [Foreign Language] So my first question is about the strategy to attract the content contributors. On the video content sites, are we doing anything different compared to the content strategy? The picture in the text sites, particularly, China's video marketing is predominantly driven by entertainment or any content? So on the video content side; are we using this opportunity to broaden the content jar and the coverage into entertainment or into the content supply? Or are we sticking to our core platform in the community attributes and to focus in on the knowledge base the content drive? And then second question is about the implementation of PNTR which took place on first of November? Are you guys seeing any difference before and after the implementation of PNTR? And how should we think about the impact of oppression and monetization? Thank you.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: And so from CEO Zhou Yuan. So first question, video is not the result. Video is not what we want to do by choice isn't a natural result of our strategy of running the community. We believe that video is indispensable part and parcel of our community and by building a nice ecosystem we are able to let the video content organically grow out of our good community.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: Our video content creators, we believe that they are versatile. Let us just call them a full stack of video content creator. They are very good at making videos; they are very good at answering questions, so they can also do live streaming. And by utilizing different formats also content, they're able to deliver the best possible results and attract the most attention from the community.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: As far as the time being you see a lot of upgrades in terms of the tools that we give to concentrators and operational transformation that gives more attention to the video content. Actually answer by video is not just something new. We believe that video is just a more suitable format of people giving answers and does just grow very fast naturally. Second is the joint creation. We believe that it is by no means using videos to replace text and images. We believe that by putting them all together we could deliver one plus one is more than two kind of result in our community.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: On the topics and discussions, discussions you see on our community covers all kinds of sectors and with an umbrella principle that there is a sense of fulfillment. So by asking and encouraging content creators to make videos that can bring sense of fulfillment you see very nice engagement and very nice growth.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: Now with regard to new regulations PAPL [Ph] we believe got the purpose of having the businesses like us to be compliant as for the better grades of the entire industry to make it healthy, to make it more sustainable for the longer term.
Zhou Yuan: [Foreign Language]
Unidentified Company Representative: In terms of our own compliance efforts, we keep talking very, very frequently with regulators and I think this is a long term thing and our own internal audit practices or operations we keep trying out good solutions for user experience and testing out the data etcetera. We believe that this will actually become a new normal, and we are, we have always been a proactive in cooperating with the regulators and make sure that we are coping with all the requirements.
Operator: Thank you. And ladies and gentlemen, at this time, we will conclude our question and answer session. I'd like to turn the conference back over the Jingjing for any additional or closing remarks.
Unidentified Company Representative: Thank you once again for joining us today. And if you have any further questions, please contact our IR team directly or TPG Investor Relations. Thank you all. Bye.
Operator: At this time the conference has now concluded. And we thank you for attending today's presentation. You may now disconnect your line.